Operator: Good day and welcome to the PFGâs Fiscal Year Q4 2022 Earnings Conference Call.  I would now like to turn the call over to Bill Marshall, Vice President, Investor Relations for PFG. Please go ahead, sir.
Bill Marshall: Thank you and good morning. We are here with George Holm, PFGâs CEO; Jim Hope, PFGâs CFO; and Patrick Hatcher, Vistar President and Chief Operating Officer. We issued a press release regarding our 2022 fiscal fourth quarter and full year results this morning, which can be found in the Investor Relations section of our website at pfgc.com. During our call today, unless otherwise stated, we are comparing results to the same period in our 2021 fiscal fourth quarter and full year. As a reminder, in the second quarter, we changed our operating segments to reflect how we manage the business. Amounts for the 2021 fiscal fourth quarter and full year have been restated to reflect the segment changes. The results discussed on this call will include GAAP and non-GAAP results adjusted for certain items. The reconciliation of these non-GAAP measures to the corresponding GAAP measures can be found at the back of the earnings release. Our remarks on this call and in the earnings release contain forward-looking statements and projections of future results. Please review the cautionary forward-looking statements section in todayâs earnings release and our SEC filings for various factors that could cause our actual results to differ materially from our forward-looking statements and projections. Now, Iâd like to turn the call over to George.
George Holm: Thanks, Bill. Good morning, everyone and thank you for joining our call today. I am excited to share our results for the 2022 fiscal fourth quarter and discuss some of the recent trends we have observed in the market. It is a dynamic time for our industry and economy, but we believe we are very well positioned to continue to produce strong results and maintain the momentum we saw as we closed out the fiscal year. Our organization is operating at a high level and the dedication of our workforce has made this performance possible. Importantly, as we shared with you just over a month ago at our Investor Day, we believe our company is uniquely constructed to do well and create value for our shareholders in a range of economic climates. Our company has been resilient during challenging times in the past and our recent strategic activity, including the Core-Mark acquisition, have only increased our ability to weather various challenges. But as you saw in our press release earlier today, we have not yet seen significant impact from what some believe may continue to be a more difficult environment for the consumer. Our fourth quarter results show how our company is balanced across a range of channels and categories. In particular, the continued rebound of our Vistar business, which experienced strength in the movie theater and vending channels along with consistent performance from our convenience segment, helped offset modest slowing in some of our chain restaurant business. We are seeing the benefit of return to more normal activities, including vacations, business travel and family outings to the movies, sporting events and other group activities. For several quarters, we have discussed how certain areas of our business, particularly at Vistar, would extend our recovery and build upon the strength we have seen in restaurants. This is exactly what is playing out today. We believe there is still room to improve, which gives us confidence in the duration of our strong top line results. We are also beginning to see some encouraging signs that the supply chain is improving. We watch our inbound fill rate closely and during the last week of July and early August, we are pleased to see our fill rates from Performance Foodservice suppliers reach the highest level in over a year. There is certainly more room to improve, but we are hopeful that this is an indication that we are heading in the right direction and we believe another reason why we feel confident for the future. Similarly, the labor market has slowly improved, better labor trends, along with a focus on our cost structure and favorable product and channel mix produced another strong quarter of year-over-year margin expansion. Considering all of these factors, we feel very good about the potential to continue to grow revenue and profit, as shown by the fiscal 2023 guidance we set this morning. Jim will describe some of the items impacting our guidance in a moment. As you know, inflation remains elevated. However, there have been some signs of moderation, particularly due to declines in some commodity proteins. This may continue in the short-term. However, we believe inflation will remain high for the next several quarters, particularly as shortages in certain grains, feed and fertilizer, impact the supply of center-of-the-plate items. We will continue to work with our customers to find alternatives to keep costs down, but allow for the same high-quality meals that their consumers are looking for. We believe this dynamic creates a great opportunity for our company-owned brands. As we shared at Investor Day, Performance Brands often provide a win-win situation, where our customers are able to find high-quality products at a lower price. For PFG, the increased sales of our own brands, improves customer loyalty and gives us better control of the supply chain. Through the fiscal year, inbound fill rates of our company brands have been generally higher than for national brands. In the quarter, Performance Brands grew 8.4%. Another topic that has gained significant attention over the past few months is the possibility of a recession hitting the U.S. economy. While we do not have the ability to predict the likelihood of this happening, we do plan for a range of outcomes that could impact our business. Through this process, we believe that we are well-positioned to handle a softer economic landscape. In fact, we believe that we are moving towards a more normal supply chain environment which we expect would lead to better productivity and higher profit margins going forward. Furthermore, we have high exposure to resilient channels and categories. In the restaurant space, our strength in pizza continues to pay dividends as we have once again gained significant share in independent pizza during the fourth quarter. As we saw during the depths of the pandemic, pizza and Italian cuisine tend to perform very well in difficult times as an affordable meal option for families. I am very happy with how our pizza business has performed and we have not missed a beat. But pizza is not the only area of strength. In fact, during the quarter, we gained share in all 15 of our largest independent categories. This includes very strong share performance in seafood, Hispanic and C-store concepts in addition to the pizza games I just mentioned. Overall, our year-over-year independent restaurant share gains improved sequentially each month of the fourth quarter, demonstrating our leadership in this important area for our business. Our organic independent restaurant cases in the fourth quarter were up 16% compared to the fourth quarter of 2019. Within Vistar, the value store channel and vending have also been bright spots. We believe that both of these lines of business are also very recession-resilient, particularly value stores. In vending, our micro market business remains one of the more exciting growth initiatives at our company. If you are interested in more details, I would point you back to our Investor Day presentation, which gives good insight into the micro market opportunity. And it goes without saying that our theater business saw strong fourth quarter as box office numbers rebounded significantly. Our theater business will fluctuate depending upon a variety of factors, including the quality of movies being released, but we are very encouraged by the consumersâ willingness to return to the theater when there is good content in the market. Finally, we have all seen the consistent performance that convenience store channel has provided, not only during the pandemic, but also through previous economic downturns. We see no reason for this to change in the future and believe that our emphasis on food, foodservice and related products, elevates the opportunity that this channel provides. In the fourth quarter, dollar sales of food, foodservice and related products into our convenience channel increased 17.6%, reflecting the benefit of inflation, same-store sales growth and market share gains. This compares to sales of nicotine products, which were down 3.5% in the quarter. This shows the incremental sales opportunity and positive mix shift that we believe will drive significant value for the Core-Mark transaction. We are also very pleased with the pipeline of new business in the convenience space. Since closing the Core-Mark transaction, we have highlighted several of these new business wins. We continue to see a similar consistency of potential new business in this space. This could only be achieved with a smooth integration process, which is exactly what we are seeing. The integration and related synergies are very much on track. Taken all together, we are pleased with our segmentâs ability to collaborate and create new business opportunities, while also providing diversification, which reduces volatility created by external factors. Our fourth quarter results position us well for the upcoming fiscal year. We posted net sales at the top end of our guidance range and higher than anticipated margins. Sales results in July and early August continued to keep pace with our June run-rate. Before turning it over to Jim, I wanted to make a few comments about the announcement we made last week that Jim will be retiring at the end of the calendar year and transitioning the CFO role to Patrick Hatcher. I have known Jim personally and professionally for 34 years and consider him a personal friend as well as a close colleague. Jimâs leadership over these years has been an important part of PFGâs success. For the past 5 years, Jim has guided PFGâs financials through some of the most challenging conditions and multiple acquisitions. But through it all, Jim was the consummate professional has achieved the monumental task of creating an either stronger financial position than inherited when he took over. He is also leaving behind a top-notch staff. I will miss Jimâs stewardship as he enters the next chapter of retirement. At the same time, I am incredibly excited to see Patrick Hatcher rise into the CFO role. Patrick has been with our organization since 2010, holding a number of leadership positions at Vistar, including the CFO of that division. Patrickâs knowledge of our business and financial position will be an invaluable asset to our organization. Like Jim, Patrick has excelled in both financial and operating roles. A number of you were able to meet Patrick at our Investor Day in June. As we transition the role from Jim to Patrick over the next several months, there will be many more opportunities to interact with Patrick. I am confident that it will be a smooth transition process. Jim and Patrick will work closely over the next several months as they have for many years as leaders of the organization. We are pleased to have Patrick join us on this call is first of many to come. Please join me in congratulating both Jim and Patrick on their new endeavors. We wish them both the best. I would now like to turn it over to Jim who will review our financial position and earnings results in more detail. Jim?
Jim Hope: Thank you, George and good morning everyone. As George mentioned, we had a strong close to our fiscal 2022 and we entered fiscal 2023 with solid momentum and a strong capital position. As a result, we were able to set solid financial targets for 2023. These measures keep us on track for the 3-year goals we discussed with you during our Investor Day in June. Our cash flow and balance sheet position is strong and allows us to maintain the flexibility to invest behind the organic and inorganic growth. We finished fiscal 2022 by generating about $277 million in cash from operating activities and positive free cash flow of $61 million both substantially higher than our 2021 results. Our cash flow success came despite necessary increases in working capital to keep pace with demand and advanced purchases to take advantage of preferred pricing on certain products. We also increased inventory from one of our tobacco suppliers ahead of that supplierâs planned manufacturing shutdown for their system conversion. We closed the fiscal year with $4.3 billion of net debt, which is a leverage ratio of 4.0x trailing 12-month pro forma adjusted EBITDA. About 72% of our debt is fixed rate representing very attractive financing levels. As we highlighted in June, reducing our leverage is a key financial priority for the company and we have made significant strides both by growing our EBITDA along with targeted reduction in our outstanding debt balances. In the absence of accretive M&A opportunities, we continue to target a leverage range of 2.5x to 3.5x. At the end of the fiscal year, we had $2.2 billion of available liquidity. I am proud of our teamâs efforts to maximize our balance sheet and financial position, while continuing to invest behind growth opportunities. We have also continued to make strong progress on the integrations of Core-Mark and Reinhart. I am pleased to report that we have now achieved the $50 million of planned annual run-rate synergies related to the Reinhart acquisition. This milestone reflects improved buying power with suppliers, operations and logistics efficiencies and corporate cost reductions. As always, we will continue to look for efficiencies and cost savings opportunities across all of our business units. With that, letâs quickly review some highlights from our fiscal fourth quarter and full year business performance. At the enterprise level, PFG net sales increased 57% in the fourth quarter to $14.6 billion, which was at the upper end of our implied guidance range. Total case volume increased 17% in the fourth quarter, including the contribution from Core-Mark and merchants. Excluding the impact of the 53rd week last year, organic independent cases increased 4.7% in the fiscal fourth quarter. Outperformance in independent case volume reflects market share gains and new business wins. This also represents a favorable mix shift, which drives profit growth, margin expansion and high-quality earnings. Total PFG gross profit increased 40% compared to the prior year quarter, including the addition of the Core-Mark business and the independent case growth, which I just mentioned. Core-Mark contributed about $270 million in gross profit during the fiscal fourth quarter. We did experience some sequential deceleration in overall cost inflation as we move through the quarter though inflation remains elevated on a year-over-year basis and roughly in line with the third quarter level. Total company cost inflation was up about 13.6%, representing high single-digit increases in the convenience and Vistar segments and high-teens increases in foodservice. Iâll discuss our assumptions for inflation through fiscal 2023 in a moment when I talk about our guidance drivers. There are a number of ways we are managing the higher rates of inflation, including using our scale to improve our buying power with suppliers and helping customers find value through our range of product offerings and performance brand portfolio. The result has been positive mix shift and margin improvement. We believe we will continue to benefit from the inflationary environment going forward. Gross profit per case was up about $1.03 in the fourth quarter compared to the prior year period. The labor market has also been a tailwind for our business over the past few months. In fact, the fourth quarter represented the first time in 2022 that we saw a benefit in year-over-year cost associated with the temporary and contract workers. In the quarter, our temporary contract labor costs decreased $21 million compared to the prior year period, which includes both direct contract labor costs and associated travel costs. This reflects some improvement in the external labor market, but was also driven by the tireless efforts of our team in the field in recruiting and retention, which continues to improve. Also note that this figure includes the impact of the 53rd week in the fourth quarter of last year. Excluding that extra week, our contract labor costs were down about $17 million compared to last year. In our Foodservice segment, June experienced the largest monthly headcount gain for all of fiscal 2022. With that said, there are still some select markets where there is room to improve on labor, even as we approach a more normal run-rate. In the fourth quarter, PFG reported net income of $76 million, adjusted EBITDA increased 69% to $357.1 million, diluted earnings per share was $0.49 in the fourth quarter, while adjusted diluted earnings per share was $1.07. As we build upon momentum at the close of our fiscal 2022, we expect another strong year of top and bottom line results in fiscal 2023. To reflect this, we have set guidance for the upcoming fiscal year as follows. In the fiscal first quarter of 2023, we expect to achieve net sales in a range of $14.2 billion to $14.5 billion. We estimate this will translate to $280 million to $300 million in adjusted EBITDA during the first quarter. For the second quarter, we anticipate $13.5 billion to $13.8 billion in net sales and $245 million to $265 million of adjusted EBITDA. A few items to note driving our expectations for the quarterly cadence. The difference in adjusted EBITDA expected between the first and second quarter is primarily driven by the timing of purchasing cost gains mainly in tobacco and candy. Not only do we anticipate high rates of inventory gains in the fiscal first quarter, but we are also lapping sizable gains in the second quarter of last year, impacting the year-over-year comparison. Inventory gains in these categories are not unusual. However, over the past year, we have seen much larger and more frequent pricing actions by consumer goods companies driving additional benefit. And with our strong balance sheet and combination of Core-Mark and Eby-Brown, we are in better position to take advantage of these benefits. These gains have the largest impact on convenience and Vistar segments. In addition, we are modeling slightly lower inflation benefit in the second quarter compared to the first quarter with modestly decelerating inflation as we progress through the year. For the full year, we anticipate net sales in a range of $56 million to $58 million and adjusted EBITDA in a range of $1.15 billion to $1.25 billion. These targets keep us on the growth trajectory necessary to achieve the 3-year 2025 targets we set at the June Investor Day. In summary, we are extremely pleased with our quarterly and fiscal year financial results. We posted a strong quarter and expect the momentum to continue in 2023. This is reflected in the strong outlook for the full year, particularly on adjusted EBITDA, demonstrating our commitment to margin improvement. Our company is positioned to build on our strength, driven by our constant focus on our existing customer base while adding high-profit new accounts across all channels. The Core-Mark integration has proceeded well, both culturally and from a business perspective. Our balance sheet remains strong, providing flexibility to invest in value-creating projects to drive organic growth. We believe these factors will allow us to achieve our three main objectives: sustained profitable sales growth, EBITDA margin expansion and lower leverage. Before turning it over for your questions, I wanted to say a few words about my upcoming retirement and my time at PFG. Iâve been blessed with a long and rewarding career in the food service industry. For the past 8.5 years, this has been with Performance Food Group. Thinking back over this time, it is amazing how far weâve commenced an organization. In 2015, we went public with approximately $16 billion in net sales and market cap of less than $2 billion. Today, weâve reported net sales of over $50 billion, and our market cap recently passed $8 billion. These achievements would not be possible without the hard work and dedication of thousands of PFG associates, customers, suppliers and in addition, our partners across the world. I am truly thankful to have been able to be a part of this success. I cannot think of a better time to be turning over our financial leadership to Patrick Hatcher. Patrick has been an outstanding leader at Vistar and an instrumental part of that organizationâs great success. Patrick brings the unique experience of being an established member of our companyâs financial organization while also having deep operating experience. Our company has got a strong financial position today, but I have no doubt that some of PFGâs best years are ahead, and Patrick is the perfect leader to guide the finance organization. Now Iâm not going anywhere right away and I hope to have the opportunity to interact with many of you over the next several months as we transition the CFO responsibilities to Patrick. Thank you for your time today. We appreciate your interest in Performance Food Group. And with that, weâd be happy to take your questions.
Operator: Thank you.  Our first question will come from Edward Kelly with Wells Fargo. Your line is now open.
Edward Kelly: Hi, good morning, everybody. And Jim, I just wanted to say that you will absolutely be missed by the investment community. Congrats on a great career, and we wish you all the best and congrats, Patrick, as well on the promotion. The first thing that I wanted to ask about is on the cost side. And just around OpEx per case, labor productivity. Could you provide a little bit more color on productivity, the outlook, how turnover is impacting you? And as we think about the progress through fiscal â23, how do we think about the trend in OpEx per case year-over-year?
George Holm: Yes. Ed, this is George. Turnover is certainly a problem. I think it is for our company, our industry, probably most industries. So weâre dealing with that. Itâs getting better. We have a lot of people that are on a learning curve more than we normally would, and they are climb in that curve and our productivity is getting better. We have a ways to go. We have some markets where weâre just back to kind of normal pre-COVID era, and we have some markets where weâve got a long way to go yet. I think in some respects, thatâs encouraging for the future because we know we will get there. And we see our OpEx per case as something thatâs a nice tailwind for us going into this fiscal year.
Edward Kelly: Okay. And then just a follow-up, and this is for Jim, I guess, you canât get off the call, Jim, without answer some questions. As we think about free cash flow, you made investments in inventory thatâs been kind of a drag on free cash flow in the past year. But how do we think about 2023? I mean, because it does look like you could see a nice bounce back in free cash flow, but Iâm not sure if Iâm missing anything as it relates to that.
Jim Hope: Hey, Ed, yes, thanks for the question. And no, I donât think youâre missing anything. I think youâre right on. This was an important year for Performance Food Group as we saw really multiple years of really strong come back in revenue and top line, a lot of growth, really positive developments in market share gains. So we had to build inventory, invest in working capital to support that. And I think the field actually did a very good job managing inventory, but weâre getting close to the point where weâve got inventory calibrated with sales and revenue growth and I think weâve been through the hardest part of that cash burn, so to speak, related to that. And yes, I would think that part of the pressure on free cash flow would start to subside.
Edward Kelly: Great Thanks, guys.
Operator: Thank you. Our next question comes from Alex Slagle with Jefferies. Your line is now open.
Alex Slagle: Thank you. Good morning. I just want to echo my congrats to Jim and Patrick as well. Question on I guess, a follow-up from Edâs question on the contract labor costs and kind of walking through how youâre thinking about the year-over-year benefit from this as you â some of these direct costs come down, but youâre offsetting with more of the full-time labor and training and you talked about the significant headwind in June or I guess the significant headcount increase in June and the training that comes with that? Just trying to think through that a little bit.
Jim Hope: Yes. The simplest way to think through it is if â and I know youâve seen across the last four quarters, we made a point of giving you the contract labor premium costs so you could see how much more of an increase there was that we had in contract labor. And now weâre saying, as we expected, that number is really now below last year. So contract labor isnât the issue that it once was. And as weâve talked about in the past, we would see contract labor improve, which has had, which it has. And we start to see over time increase, thatâs happened, and then we would expect over time to start to come down to a more normal rate. Itâs nice to see us building staff, and we need to work on reducing turnover, as George mentioned. But I think weâre at the spot where contract labor and that excessive premium is no longer part of the picture as we move forward.
Alex Slagle: Got it. And wanted to follow-up on comments on the July, August trends and just color on the progression of sales maybe through the quarter and into that as consumers face the higher levels of inflation and fuel costs, but then a pretty dramatic in decline on the gas prices, I guess, through July and into August and curious how this impacted demand across the businesses that especially convenience?
George Holm: Well, we do feel that the cost of fuel has had a negative impact on the business. Even in convenience, where typically people will be in more frequently, people that buy a certain amount of gas at a time and purchase more product, but we havenât experienced this kind of increase in fuel before, and weâve actually seen less traffic in convenience but a higher ticket. As far as the trending goes on the Foodservice side, we have seen some uptick in July and early August on a comparison standpoint to the previous year. But I think if you look at our fiscal fourth quarter, calendar second quarter. The anomaly was really more last year than this year. The reason I say that is, first of all, we had mid-50s independent case growth last year versus the previous year. But if we go back to 2019, which is I think the last time we saw anything which approached normalcy, our fiscal 2022, each quarter was very similar in that mid to high teen case growth over 2019. But quarter four, we were only, I believe, 4.7% was the number. So if you go back and you look at the fourth quarter of last fiscal year, you had a lot of things going on. First of all, you have many markets opening up and coming back very strong, you had stimulus money that ended up a lot of that became discretionary income and a lot of it went into restaurants, and people wanted to get out that continued in July and August of last year, and then it started to taper. So I think weâre going to have easier comparisons provided we donât go into a big recession. I think weâre going to have easier comparisons later in the year. And weâve particularly seen it in some of our chain business that has been very slow versus last year.
Alex Slagle: Thatâs helpful. Thank you.
Operator: Thank you. Our next question will come from Jake Bartlett with Truist Securities. Your line is now open.
Jake Bartlett: Great. Thanks for taking the question. My first is on the 2023 guidance and when you gave the â25 guidance at the Investor Day, you kind of qualified that in the low end with a mild recession. Is that the case for your 2023 guidance? I just want to kind of understand what kind of macro backdrop really are included in that guidance?
Jim Hope: Yes. Certainly, with Q1, weâre clearly a little closer to that time period now than we were with the 3-year guidance, where weâre giving something way out in the future, and we wanted to caveat it with thoughts around the macroeconomic environment. With Q1, what you see is probably a little more of a traditional high and a low end of a range. Weâre already into that quarter a little bit. So itâs not as heavily impacted by changes in the economy as the 3-year outlook would be. I would kind of wrap that comment up with I think you know us, we feel very confident about the guidance weâre providing today.
Jake Bartlett: Okay. Great. And the other question is just there is some kind of modest EBITDA margin expansion buildings in the â23 guidance. So Iâm wondering if you could help us understand the sources of the margin expansion or whether you should see â we should see gross margins expand a little bit, contribute to that to the overall margin expansion or is that mostly just on the operating expense leverage that youâre expecting?
George Holm: Yes. This is George. Iâll go ahead take that one. In the gross margin area, weâve been doing very well. And the bulk of that continues as it has for several years to come from our change in mix of business. Our gross profit per case is at all-time highs and I think our industry appears to be probably at all-time highs. But with that type of inflation for us to get margin growth as well has been a bright spot for us because we do have several large customers that are on a fee per case and increased inflation only drags the margins down. Weâve also experienced in our Vistar business, a great change in mix of business more towards where we get a higher margin. And then when you go to convenience, itâs just the same story. The tobacco has been on a decline close to 3.5% last quarter. And we had over 17% growth in the food and kind of food-related area and particularly good in food service. So I donât see our margins being a big challenge for us as we get into next year. I think those trends will continue. Now weâve done real well as far as making money on the existing inventory that we have. And weâve modeled in for that to slow down. But weâve also had unusually high, as we talked about with Edâs question, weâve had unusually high labor costs, particularly in warehouse and delivery. And if that continues the trend that itâs on now, those two, the one headwind and the one tailwind will kind of offset each other.
Jake Bartlett: Great. Thank you very much. I appreciate it.
Operator: Thank you. Our next question will come from Mark Carden with UBS. Your line is now open.
Mark Carden: Good morning. Thanks a lot for taking my questions. Jim, Iâd also like to extend my congratulations on your retirement. And also Patrick and Scott, congratulations on your promotions. Maybe to start on market share with gains they are pretty solid across the board. Are you seeing any indications that itâs coming more from wallet share growth with existing customers or from new customers being onboarded, and then has this balance been shifting at all in recent quarters?
George Holm: We look at that extremely close. And what weâve seen is that our new business is real stable, the percentage of our business thatâs accounts that we didnât sell the previous year. And our lost businesses continued to gradually go down. So weâre real pleased there. Weâre seeing the big change is in penetration as our penetration has gone from a pretty good positive to a negative. And I think thatâs understandable. There is more restaurants open. So itâs more competitive. And the ones that are opened when thatâs higher, youâre going to have more options and people are going to see some decline in traffic. What gives us encouragement there that, that is temporary and more to do with the big volumes last year is that our line is really up. So weâre selling more items to the customers that weâve had this year and last year, and they are just not buying as many cases per line item. It just shows that that their business is down. So we know that we can do a good job with new business that hasnât been the focus that we needed it to be for a while as we were struggling from an operational standpoint. We expect that to get better and weâre just encouraged.
Mark Carden: Great. And then on cross-selling, you talked about the pipeline remaining quite strong. has the mix been in line with what you were anticipating? And by this is interest still skewing more heavily from convenience stores looking to cross-sell food service? Or have you perhaps been surprised by the degree of Foodservice customers in the convenience side that are looking to add center store?
George Holm: Yes. For us, those sales show up partially in Foodservice and partially in convenience, depending on the level of commitment that the convenience store has from service and the number of SKUs that, that involves. So I think what I would be comfortable saying is that both are growing and growing well. And our approach to the marketplace, I think weâre refining that, and weâre getting a better and better feel of which one of our businesses should be pursuing that business. But when we see these kind of declines, which are a little bit unusual in tobacco, a little more than normal, I just look at that, that it just takes these convenience customers where our Core-Mark and EV people have great relationships. And it makes food and food-related product, more important to their future success. And I think that, that just bodes well for us.
Mark Carden: Makes sense. Thanks so much and good luck.
Operator: Thank you. Our next question will come from John Heinbockel with Guggenheim Partners. Your line is now open.
John Heinbockel: Thanks. Also, congratulations, Jim and Patrick. Iâm going to start with a short-term tactical question then maybe one longer-term. But George, when you think about the average ticket, casual dining, obviously quite a bit different than pizza I mean when you sort of dissect your business, is there any sign yet â well, how much of your business would be higher ticket, meaning average check maybe for family, right, higher than $50? And is there any sign yet that maybe starting to see a little bit of pressure relative to lower ticket, right? Because it is expensive to eat out the experience isnât what it used to be. Any sign of that any concern on your end that that part of the business may weaken here over the next few quarters?
George Holm: Well, thatâs really a good question. And weâre always careful as to how we comment because we â itâs kind of our customersâ job. But I would tell you that we see casual dining as not all of them, okay? So I donât want to imply that, but that has been weaker for us, and weâre seeing a little bit more success kind of in that fast casual and better lower-priced menu casual diners. I would say that, that is already happening. Now thatâs just our customer base and â but thatâs what we see.
John Heinbockel: Okay. And maybe longer term, right, so â and I maybe over-thinking this, but â when I look at the implied second half of â23, right, at the midpoint, right? So, thatâs about 10% EBITDA growth or so. To get to the midpoint, the $1.6 billion by â25 requires a step up from that. So, I am curious, what do you â itâs not revenue driven, right? It looks like itâs more margin. What drives that? Is that a normalization in labor? Is that a step up in mix? What do you think drives that improvement in the out years?
Jim Hope: Yes. Itâs definitely both of those. Itâs continued improvement in mix, continued improvement in labor. Really, we expect every division to continue the positive momentum that they have already shown. And I will tell you, we are basing our projections internally based on trends that we already see today that we feel confident in.
John Heinbockel: Okay. Thank you.
Operator: Thank you. Our next question will come from John Glass with Morgan Stanley. Your line is now open.
John Glass: Thanks. Good morning everyone. Congratulations, Patrick and Jim. I wanted to see if you could maybe just unpack a little bit in terms of your overall revenue growth for this year, the 12%, I think at the midpoint. How do you think in particular the convenience and Vistar channels contribute to that? I assume below, but maybe some insight on how you are thinking about those businesses growing. Do you think the Vistar business was an anomaly quarter just given box office, or do you think thatâs more of a durable run rate for revenues right now? Thanks.
George Holm: Well, the Cedar business has always been kind of choppy because itâs so dependent on the quality of the content. We see a little bit of a lull period right now, but there is some great content coming out and we expect to have a real good kind of late fall and early winter season. Theaters just made a great come back. Vistar still has some  business that havenât come back entirely that office coffee being one that we are not sure will come back entirely, but itâs certainly going to improve from the levels itâs at now. And then our retail business, itâs been quite strong, and we donât see anything thatâs going to reduce the performance there. So, we look at the next couple of quarters as this start being a good grower for us. When you get to convenience, that business tends to come in chunks. There is a longer sales cycle with it. We have got a good funnel. We have got some new business that we know for sure is coming on. So, we feel good about that being a growth business for us. And then when it comes to our food service business, if you look at our national account business, we were actually for fiscal â22, we were negative for the year. And obviously, it helped a great deal in margins, but we have got a good funnel there. We have got some business that we know is coming on as well. So, we are confident that we are going to have a better growth year in Foodservice in â23 than we did in â22.
John Glass: Okay. Thatâs helpful. Thanks. And then, Jim, on inflation, what is the â I know you talked about inflation broadly, but what is the embedded overall inflation number or range for 2023, please?
Jim Hope: Yes. We didnât provide a number as part of guidance, but we certainly added some commentary and color that we expect it to slowly subside, but we do expect continued inflation in 2023.
John Glass: Okay. Thank you.
Operator: Thank you. Our next question will come from Fred Wightman with Wolfe Research. Your line is now open.
Fred Wightman: Hey guys. Good morning. Thanks for the question and Jim all the best on retirement. I was hoping you could sort of touch on the â there was a comment about having the highest fill rates that you have seen in over a year. I am wondering if you could just connect the dots with what you think that might mean for targeting or ultimately securing new customer growth. It sounds like that new customer add lines has been relatively steady. But with fill rates where they are, do you think you can sort of lead into that going forward?
George Holm: Well, we have seen a continued improvement in our inbound fill rate, and we have always been able to provide a higher fill rate to our customers than we are getting from our supplier just through experienced purchasing people and running higher inventories as we are today. I donât know how much of an advantage that gives us in the marketplace. We donât have a great feel for our competition and what kind of fill rates that they are operating with. But I would imagine that itâs somewhat similar. When you get to our convenience and our Vistar business, it has been more difficult. Our inbound rates have not improved to the level that anywhere near actually the level that our Foodservice has. And I think thatâs because so much of its packaged product that has several ingredients and the more ingredients there are, the more likely that there is something thatâs not available at the time. And we donât know â we just donât have a good feel for how much business that is costing us. Thatâs one of the tough things in determining where you feel sales are going to go. Sometimes the customer in both of those businesses just put something else into that slot and you are not necessarily losing a sale. But in Foodservice, we do believe that having higher available product is going to help us.
Fred Wightman: Makes sense. And then if we just think about the guidance, I mean giving two quarters has been something that you guys usually do. Did the Street just have the seasonality wrong and you wanted to flag the timing of some of these inventory benefits, or is there something thatâs on the horizon, maybe some of that trade down from the lower end casual thatâs making you a little bit more cautious?
Jim Hope: No, it was primarily the inventory benefits and we wanted to provide the Street a little more clarity on the inventory gains that we are very confident in and happening in Q1, and make sure that folks had the calibration between the two quarters and they saw it in a manner consistent with us. Thatâs all. Just trying to help.
Fred Wightman: Perfect. Yes. Thatâs very helpful. Thank you.
Operator: Thank you. Our next question will come from Jeffrey Bernstein with Barclays. Your line is now open.
Jeffrey Bernstein: Great. Thank you. Two questions. One, just following up on the inflation, I know the past couple of quarters, itâs been stable in that 13% to 14% range. And I think you mentioned you expect it to slowly subside, but nothing too crazy. I am just wondering if you can maybe walk us through high level, the implications of if it stayed at double-digit versus the potential for your basket to be down to single-digit, or some people dream of potential deflation. I am just wondering if you could share some high-level thoughts on how you think about it as a business in terms of the margin impact by your segment level? And then I had one follow-up.
George Holm: Yes. We feel that we are benefiting from the inflation actually because the way we have been handling our inventories and we have made some good income there. We certainly donât want to see inflation rates continue to be where they are at today, and we didnât model in this type of inflation into how we are planning out this next year. I think that there is still some price increases that need to happen on the part of our customers who have been behind that price increase curve. And I think itâs given some advantages to our industry versus retail that seems to be right on the market with their price increases. And I do feel that itâs going to advantage people that are a better price value that are kind of on the lower end as far as our customers go. Thatâs really all we can say at this point. We just donât have a great feel for that, but we donât expect to see a deflationary period of time.
Jeffrey Bernstein: Understood. And then just more broadly in terms of the market share. I know Jim, you mentioned earlier, big gains in recent years. Just wondering how do you quantify that for some perspective from the outside? I know some of your peers talk about what level of growth they expect as a multiple to the broader market. Just wondering whether you can share any metrics in terms of what you believe your market share was and is or maybe you have some internal targets in terms of the growth rate versus the market, just trying to level set across the big players? Thank you.
Jim Hope: Yes. We have not quantified the market share gains. We havenât put a target out there to-date. But we feel confident that we have taken market share and we continue to grow in a very healthy manner, both from an organic as well as an inorganic perspective.
George Holm: Yes, I think itâs difficult to determine the size of the market in our business. We have one set of numbers that we use and that doesnât have every distributor in it. It has all the large broad-line distributors. So, thatâs what we look at. It doesnât have the specialty guys in there. But we have very consistently been gaining share across pretty much all restaurant types. And the restaurant types that we are the largest in and we have the largest shares have also been where we have been gaining the most share. So, thatâs how we report. But I donât want anybody to think that we know what our market share is with the total market that involves everybody in distribution, we do not.
Jeffrey Bernstein: Understood. Congrats Jim and good luck Patrick and Scott. Thank you.
Operator: Thank you. Our next question will come from Peter Saleh with BTIG. Your line is now open.
Peter Saleh: Great. Thank you and thanks for taking the question. I also wanted to echo my congrats to Jim, Patrick and Scott. George, at the Investor Day, I think you indicated that sales in Foodservice were still pretty healthy, but you were seeing a significant amount of volatility week-to-week, a lot more than usual. How would you describe the current environment? I know you guys gave some color on July and early August seems to be more in line with June. Just trying to understand if that volatility has improved and things are more normal or if that has continued.
George Holm: Things have been very stable, not at the level we would like to see that, but itâs been very stable. But once again, I go back to what I said earlier, if you compare fiscal â22 to fiscal â19, the increases were pretty much the same all four quarters. So, that tells me that when you go back to that stable period of time pre-COVID, that we are at that same kind of level of stability. And I think that Q4 of last year and into part of this year is the anomaly. Thatâs when things were extremely high. And I think we are heading into a much more normal environment in the restaurant part of our business.
Peter Saleh: Thank you for that. And then just on the inflation, just coming back to that, are there any categories or products that you feel are â we could see some more modest inflation or maybe even deflation as we head into â23, where other categories we may see some more inflation? Just trying to parse out some of your comments here on the outlook for inflation in â23.
George Holm: Well, let me â first of all, just talk Vistar and Core-Mark. They have seen a good bit of inflation. They have seen suppliers that have had two price increases instead of one in a year. Those type of packaged goods, in all my years in the business, I have never seen them lower prices, okay. That just doesnât happen. They may pass on a price increase for a year. I have seen candy do it once for 3 years. So, kind of set that aside. When you get into Foodservice, the commodity items, they change prices and they change prices regularly. And I think that we will get to maybe a more normalized environment where itâs pretty much controlled by supply and demand. But today, there is still labor factors. There, there could be deflationary periods of time. We have seen some meat deflation in certain products here of late. But when you look at the amount of cattle out there, we know that we get into next year, probably even this fall, there is going to be some fairly significant price increases. So, I donât think anybody really knows, but we follow it close. We have people that follow it much closer than we as a management team do that we get advice from, and I think itâs going to continue to be inflationary. I just donât think we are going to see these mid-teen type inflation numbers for any lengthy period of time.
Peter Saleh: Thank you very much.
Operator: Thank you. Our next question will come from Andrew Wolf with C.L. King. Your line is now open.
Andrew Wolf: Thank you. Jim, congratulations on your career and best of luck in your retirement, I wanted to ask about the cadence. I know people have asked about this, but you did reference how July and August are doing with respect to June. Is that because June is more normal as you have been kind of talking about, George, or is it â was June slight â was June a lot different than the rest of the quarter, or am I reading too much into that?
George Holm: No, not really a lot different, but I wouldnât call June normal from a comparison standpoint. I think it was a fairly normal month, but the comparison versus last year was very difficult. And I will reiterate this. But our June, like the quarter, the increase over 2019 was pretty consistent with what itâs been all year long. We have seen a slight uptick in our case growth in July and early August, but I still look at last year in that period of time as being a very strong period of time, tough comparisons, I guess is what I am saying.
Andrew Wolf: Sure. No, thatâs really helpful in my understanding. What about Reinhart, is it also driving the results there in, or more of the divisions also starting to pick up their growth relative toâ¦?
George Holm: Yes. Reinhart is doing terrific. Just really performing well. I couldnât be more pleased.
Andrew Wolf: Thank you. So, Jim, you mentioned inorganic investments and the use of free cash flow, and thatâs a pretty broad place to put a brush. But could you guys just sort of talk about maybe some of the key areas of focus, either for â23 or beyond, whether itâs hiring more salespeople or where are you at with just personnel in general. It sounds like you had a nice step up, but there is still a lot of job vacancies. So, itâs a pretty open-ended question, but where do you want to invest in the business to really start getting your labor rates where you wanted to get and so on?
Jim Hope: Yes. Look, what we are referring to is we are going to continue to invest back into the business to support growth. We will do that in multiple ways, none more important than CapEx to continue to build our supply chain infrastructure. But I feel like we are in very good shape, of course, from the standpoint of the balance sheet and our ability to invest back into the business.
Andrew Wolf: Got it. And I donât know if you are â just a couple of modeling questions here kind of a little bigger than â so the last few quarters, you had a couple like both quarters had showed $11 million, it looks like other income. Is that a new component in the business, or was that just some flow through that is not going to continue?
Jim Hope: Yes. No, thatâs not a new component. We do quite a bit of probably an appropriate amount of fuel hedging to offset the rising cost of diesel fuel, and thatâs what you are seeing there, the cost covers that we were on.
Andrew Wolf: Alright. And one other one for you, Jim, before we go to kind of badger here. Could you give us the holding gains maybe for the first half, like what the swing might be? I know Core-Mark used to break that out, kind of as a useful number to see what the rest of the business is doing?
Jim Hope: Yes, Andy. Certainly appreciate and respect that question, falls under the category of one that we are not going to share at this time. But it was helpful and I appreciate the question.
Andrew Wolf: Would you say itâs more of an intra-quarter swing, which is why you showed us the two quarters, or is it an absolute kind of boost to the EBITDA for the year?
Jim Hope: Yes. So, as I mentioned earlier, thatâs one of the main reasons we provided two quarters to show you there was a little more heavier mix of the inventory gains in Q1. You are correct.
Andrew Wolf: Alright. Thank you. Thatâs it from me. Appreciate it.
Operator: Thank you. Our next question will come from Kelly Bania with BMO Capital. Your line is now open.
Kelly Bania: Good morning and congratulations from us as well, Jim. Just a question on the margins, I recall from the Analyst Day in June, I believe, Jim, you expected all three segments to contribute to the margin expansion over the 3-year period. But as you look at this year aside from the inventory gains which you called out, which is helpful. Just any color on the segments that contribute to this? And just any discussion of kind of the upside or downside to those margin expansion assumptions?
George Holm: Yes. All three businesses today are running margin growth. All three.
Jim Hope: Look, we have good momentum.
Kelly Bania: Perfect. Thatâs helpful. And then just â I apologize if I missed this number, but in terms of growth from Q2 on an organic basis relative to 2019, can you give us those figures for Foodservice and Vistar?
Jim Hope: Right now, I donât have those numbers here with me. And, no, I am not sure we are going to disclose anymore than we have. But happy to help you work through what we have disclosed.
Kelly Bania: Okay. Thank you.
Operator: Thank you. It appears we have no further questions at this time. I would now like to turn the program back over to Bill Marshall for any additional or closing remarks.
Bill Marshall: Thank you for joining our call this morning. If you have any follow-up questions, please contact us at Investor Relations. Have a great day. Bye.
Operator: Thank you. Ladies and gentlemen, this concludes todayâs event. You may now disconnect.